Operator: Ladies and gentlemen, thank you for standing by, and welcome to Iren's First Quarter Results. [Operator Instructions] I would now like to hand the conference over to CEO, Massimiliano Bianco. Please go ahead, sir. 
Vito Bianco: Thank you. Good afternoon, everybody, and thank you for attending Iren's 2021 first quarter results that in a positive recovery scenario, it reported the highest outcome in absolute and relative terms ever achieved in a first quarter.
 Starting from Page 2, the increase in commodity prices is sustained by the recovery in the economy. The contribution of consolidated companies acquired in last year, I.Blu and Unieco, led to about 6% increase in revenues despite the persistence of the COVID emergency that influenced the power and gas volumes sold.
 The EBITDA increased of EUR 39 million, thanks mainly to the market business and the consolidation in Waste sector. To analyze these results, it is useful to point out the following factors. As far as the energy scenario is concerned, we reported an overall positive impact of EUR 14 million. On one hand, the increase of pump prices affected the electricity production of hydroelectric plants and waste to energy, along with the price of electricity sold to end clients. In addition to this, we reported a higher margin in gas commodity for EUR 13 million.
 On the other hand, the heat per spread decreased, leading to a negative result of EUR 10 million. The climatic effect related to the heat and gas segment had a positive impact for EUR 9 million, thanks to the cold temperature.
 The consolidation of I.Blu and Unieco allowed us to increase the result of the Waste sector for EUR 8 million. The organic growth contributed for EUR 11 million, mainly for the increase in allowed revenues sustained by higher RAB, the extension of district heating network, the positive trend of the energy efficiency line of business and the customer base margin enhancement.
 I want to spend some words on investment, now at EUR 122 million, which recorded a slight decrease that will be recovered by the end of the year. All our projects are ongoing. We are sure to respect and confirm the time line presented in the latest business plan as we have completed all the authorization processes.
 Starting the analysis of the business unit from the Networks sector, Page 3, which in the first quarter '21 reported an EBITDA growth of 6%. Excluding the nonrecurrent elements, mainly related to water insurance reimbursement and a gas balance for an overall of EUR 3 million, the goal would have been equal to 2%.
 Through the investments made in the previous years, the allowed revenues increased for around EUR 3 million in this quarter. This impact is not particularly visible due to EUR 3 million of negative related to COVID-19 extra costs and other elements.
 On top of this, we reported EUR 2 million of synergies, equally split between gas and water, thanks to the continuing implementation of the performance improvement initiatives. The investments are in line with the business plan assumption and slightly lower than the same period of the previous year.
 The investments, according to our strategy, are allocated for resilience improvement of the energy infrastructure for leakage reduction and districtization of water systems, which allow for a more effective and sustainable management. In the first quarter '21, all the districtization activities have proceeded, adding 28 additional districts and reaching 56% of the network district.
 Despite difficult access to meters for COVID-19, the mass replacement of gas and water smart meters continued in line with the targets foreseen. Because of these investments, we can reduce the water taken from the environment, the network leaks and increase the quality of the water distributor.
 As far as the outlook is concerned, 2021 EBITDA is expected to be in line with last year, despite the absence of the extraordinary elements that positively characterized last year. This target will be possible leveraging on more than EUR 10 million of increase in allowed revenues compared to full year '20.
 Moving on the Waste sector, Page 4. The 21% increase of EBITDA was generated mainly by the consolidation of acquired companies, I.Blu and Unieco, that allowed us to increase the waste volumes manager of 26% compared to last year. Going deeper in each activity, the increase in collection activities of EUR 1 million were mainly related to margin standardization.
 Activities to increase the sorted waste have been continued, reaching a percentage of 68.5%. This result increased compared to first Q '20 when it was 68.2%, is slightly lower than full year '20 because during COVID emergency, the volumes of unsorted waste were reduced, impacting positively on the percentage of the sorted waste.
 The increase of treatment and disposal activities of EUR 8 million depends on the positive contribution of I.Blu for EUR 2 million and Unieco for EUR 6 million, later followed by seasonality trend. On top of that, the increase in pulp price positively affected the waste-to-energy electricity produced for EUR 3 million.
 These positive results were partially contracted by lower contribution from REI landfill, currently not available as capacity expansion activities are underway. We expect the extension of capacity from 2022.
 The investment made, EUR 22 million, were 37% higher compared to first quarter '20. CapEx are devoted to improving collection activities and the construction of treatment and recovery plants as we anticipated in our business plan.
 As regard the outlook, the full contribution of the last consolidated company equal to roughly EUR 20 million compared to EUR 10 million in '20, will be offset by a reduction in the collection revenue due to Parma and Piacenza tender participation and minor use of REI landfill, around EUR 8 million each. Therefore, the overall EBITDA expected to increase in the range between EUR 10 million and EUR 15 million.
 Analyzing the Energy business unit, Page 5. The EBITDA increase of 7% is supported by a recovery scenario characterized by growth of energy prices and volumes compared to last year. As far as volumes, despite the Italian electricity market, reported a 2% increase in the energy demand, PUN reported a 7% increase in the electricity producers, mainly on hydro and cogeneration technologies.
 On the other hand, regarding prices, although PUN price has increased 49%, the business unit reported an achieved price rise of 26% because of the hedging policy. Our clean spark spread achieved as an average of gas fuel asset was slightly below the market price due to the management of plants that in this quarter privileged the heat production and the ancillary service market. In fact, it's important to underline that we reported a contribution in the MSD market of EUR 16 million, in line with last year when it was very strong as well.
 The main drivers reported in each line of business are the following. In the hydroelectric and renewables generation, the growth of EUR 7 million was due to the higher price from EUR 46 per megawatt last year to EUR 58 per megawatt this year; the increase of volume of electricity produced plus 53 gigawatt hour; and the increasing green certificate price and volume.
 The gas fuel plant profitability was EUR 1 million lower than last year as the overall performances on the MSD market and in the day-ahead market were almost in line while we reported an increase in operational costs. The clean spark spread achieved in the day-ahead market was EUR 2.1 per megawatt, quite in line with the EUR 2.2 per megawatt reported in the first quarter '20, as we expect to benefit more of the hedged volumes in the coming months.
 The heat sector reported a negative result of EUR 2 million because the positive climatic effect sustained by the colder temperature recorded in the quarter were partially offset by the reduction of heat spark spread. If, on one hand, we distributed roughly 150 gigawatt -- thermal gigawatt hour since last year, on the other hand, we reported a reduction of more than 10% in the heat spark spread. This negative outcome was related to high scenario volatility underpinned by rocketing gas cost procurement combined with volume sold at a fixed price.
 The energy efficiency reported a positive result of EUR 2 million, thanks to more than 140 activities of rebuilding, management of thermal systems and services to municipalities. The business has a pipeline of about 600 activities contractualized related to Superbonus and Ecobonus.
 As far as the outlook is concerned, the Energy business unit will report 2021 result of around EUR 280 million, thanks to the hydro and energy efficiency sector composed as follow. In the hydro sector, we expect an increase of roughly EUR 40 million, mainly to the higher pump price, the green certificates and the strategic choice made in last quarter '20 of shifting production in '21 with a positive effort of EUR 18 million, which will be visible in the fourth quarter when extra production volumes allow us to obtain a premium of green certificate.
 The thermoelectric production is expected almost in line with last year overall. The district heating sector will report a positive outcome by the end of the year, mainly led by further volume growth. Finally, the energy efficiency segment is expected to report a remarkable growth over 100% compared to last year, sustained by roughly 400 rebuilding activities in '21, leveraging on the Superbonus and Ecobonus.
 Market at Slide 6 closes the business unit analysis. The considerable growth of 34% at the EBITDA level is explained by the growth in the marginality of gas sector, which is favored by lower cost of procurement and the use of gas storage in '20 for an overall contribution of EUR 13 million.
 Along with this extraordinary effect, it's important to highlight the growing gas volumes sold, a continued enhancement of client margin and the recognition of structural emerging cost equals to EUR 5 million, affected the electricity and gas sector mainly linked to the IT system, in particular, cloud solutions, marketing and commercial activities.
 Going more deeper into each line of business, the electricity business reported a slightly positive result because of the increasing margin, thanks to a favorable energy scenario along with a strategic commercial policy. These positive effects were partially counterbalanced by lower volumes in the business and small business sector due to COVID emergency worth EUR 1 million and the recognition of energy costs of EUR 3 million.
 The gas sector, as I mentioned before, is favored by the gas stored during summer '20 at very low prices. That contributed for EUR 8 million and low-cost gas per equivalent for EUR 5 million. In terms of volumes, we benefited of lower temperature, slightly reduced by a negative COVID effect. The one-off shown in the EBITDA bridge are all related to this sector. IrenPlus contributed positively to the result, doubling the first Q '20 EBITDA.
 Since 2020, we have started a commercial campaign focused on green electricity in order to incentivize the sustainable consumer and reduce the environmental impact of our clients. In this quarter, we sold 200 gigawatt hour of green energy to the end clients.
 The continuous growth of our customer base allowed us to reach 1,885,000 clients plus 8,000 clients (sic) [ customers ] compared to '20 year-end. The national clients stand at 33,000 clients plus 10,000 customers compared to full year '20.
 Concerning the electricity clients, 77% are already in the free market, and all the new acquisition are in this segment. We are seeing a reduction in the customer base rate of growth that could be split into 2 main causes: the higher competitiveness in the market visible in the increase of churn rate and in the cost to acquire; the COVID emergency caused the slowdown of front office engagement and the reduction of physical channels activities. This has reduced the activities of acquiring new customers through traditional channels by making greater use of digital channels, acquiring new customers who are typically less loyal.
 Regarding the outlook, excluding more than EUR 10 million of extra return of commodities that have been characterized at 2020, we expect the result slightly above last year. Gas sector and IrenPlus will drive the growth of the business unit.
 Finally, I would like to spend some few words about the small business auctions acquired last month. We are waiting to receive the official award of the 2 lots in which we were first classified. This positive outcome allow us to look with confidence and positivity at auction for the liberalization of the retail market.
 Now I hand over to Massimo Levrino, Iren CFO, to explain the elements below the EBITDA line. 
Massimo Levrino: Thank you, Massimiliano. Now we are at Page 7. The chart shows the results from EBITDA to net profit. EBIT stands at EUR 184.2 million. It had a growth of EUR 38.8 million, and it is roughly the same increase of EBITDA. This is due to the fact that the growth of depreciation and amortization was offset by the reduction of the provision to bad debt and other provisions.
 Going into details and starting from D&A, they increased from EUR 102.5 million to EUR 112.1 million, mainly related to the growth of the fixed asset and to the extension in the area of consolidation, in particular to the Unieco and I.Blu. Provision to bad debt stands at EUR 14.6 million. Comparative with 2020, that had a decrease of EUR 7.4 million. The reasons are the lower provision related to the expected losses for COVID-19 emergency.
 In the first quarter '21, the additional provisions were EUR 5 million instead of EUR 12 million in 2020. We forecast a further adjustment that will be accounted in the next quarters for an amount of EUR 5 million in addition to the usual provision that we estimate in EUR 35 million to EUR 40 million.
 EBT stands at EUR 180 million. It shows a strong increase of EUR 53.3 million, thanks to the positive contribution of EUR 50 million in this section of the profit and loss account. If we go into details, we see that the financial charges for loans and bonds were EUR 16.3 million. They had a slight growth of EUR 1.2 million because of the growth of the average financial debt in this quarter of EUR 170 million. That -- this is almost totally completely offset by the lower average cost of debt from 2.2% to 1.8% and to lower interest income in 2020 related to the loan provided to hold until the sale of the stake in February 2020.
 The other financial charges that stand at EUR 12.3 million are positive. They had an improvement of EUR 15.6 million due to the optimization of Unieco debt resulting from the early payment of the financial liabilities at lower price than the nominal value recorded in the financial statement. It is a positive nonrecurrent event.
 Regarding the group net profit, it increased by EUR 37 million. The tax rate was 29%, a small reduction compared with 2020, but we forecast the tax rate for the full year 2021 that could be roughly the same of the 2020 tax rate. Minorities was EUR 7.1 million. They had a slight increase of EUR 1.4 million.
 Now we are moving to Page 8. You can see that the cash flow and the net financial position bridge. The net financial position at 31st March had a decrease of EUR 33 million, thanks to the robust cash generation increased by EUR 40 million compared with 2020. The cash generation offset the net working capital increase, the high level of CapEx that were EUR 122 million and the financial impact of EUR 25 million derived from consolidation of Futura.
 As regards to net working capital, there was a growth of EUR 70 million. The increase is due to the growth in trade receivables linked mainly to seasonality. Furthermore, trade receivables are still affected by the COVID-19 that we're estimating EUR 50 million in this quarter. We expect that the impact on trade receivables will last until the end of 2021 when it is forecasted to be roughly EUR 40 million.
 About buyback, the impact was only EUR 4 million. At the end of the first quarter, the treasury shares were 17.8 million, equal to 1.77% of the total share capital. The derivatives has the positive impact of EUR 9 million related to the fair market value on commodities and interest rates.
 Now we are going to Page 9. You see the interest rate and the debt structure. The first pie chart on the left presents -- just a moment because it's not changed -- presents breakdown -- okay, now I look at the slide -- the breakdown to the gross debt. We confirm the figures reported in the conference call about the 2020 full year results. Indeed, we can see that only 4% of the gross debt is at a higher rate, the 84% is fixed rate, and 12% is hedged with swaps.
 The second pie chart on the center represents a breakdown of the debt structure. The pie shows -- pie chart shows that the even total gross debt is followed by bond for 84%, of which 45% are green bonds, and this percentage is higher compared with the first quarter 2020 and to the last issue in December 2020 on the fourth green bond with a size of EUR 300 million and 10-year tenors. The other financial sources are the EIB funds for 14%. Therefore, hedging the bonds, we can say that 59% of the year-end total debt is composed by green and assimilated instrument. The loan from banks was only 2%.
 Moving on to maturities. You can see in the bar chart on the right, the maturity until 2026. Looking at the first 3 years, the larger maturity will be in 2022, EUR 422 million, mainly linked to the maturity of a bond in 2050.
 The average duration of the long-term debt is 5.9 years. It was 5.6 years in first Q 2020. The cost of debt was 1.8% from 2.2% in the first quarter of 2020, a strong reduction of 18%, thanks to the new bond issue in 2020 that had a full effect in 2021. Remember that the first issue was in July for an amount of EUR 500 million and the second mentioned green bond in December with a size of EUR 300 million.
 Coming back to maturities and how to finance this maturity, we have to consider that the liquidity at the end of March continues to be above EUR 700 million due to the 2 mentioned bond issued in 2020. At the end of 2021, we forecast to still have more than EUR 400 million of liquidity, and we will still have EUR 220 million of committed long-term credit lines that in this moment are available for an amount -- a higher amount of EUR 300 million.
 All these loans have a maturity of 15 years, amortizing at a very low cost. In addition, Iren has the availability of 2 sustainable linked revolving facility for a total amount of EUR 150 million that in case of need can be drawn.
 Now I'll hand it over to Massimiliano for the closing remarks. 
Vito Bianco: Thank you, Massimo. The sound results reported in the first quarter facing a very challenging environment give us improved expectation on full year results. First, over the coming months, the supportive energy scenario combined with larger hedged volumes will lead to better performances in the energy activities, which also will benefit of the hydroelectric extra profitability in the fourth quarter.
 Our 2 market activities are expected in line with last year. We expect stronger performances in the overall energy value chain, confirming the value of having a strong position in both generation and supply activities.
 When it goes to waste activities, after the full integration of the last consolidated companies, we expect better performance, thanks to a larger asset base which is expected to go further in the future, thanks to the investment we are carrying out in the new treatment facilities.
 From the negative, we see some impact from the lasting COVID emergency, which are expected at no more than EUR 10 million on EBITDA, net working capital deterioration for about EUR 40 million and the credit losses up to EUR 10 million.
 Considering the -- all the previous elements, our improved guidance on '21 full year is EBITDA at EUR 970 million/EUR 980 million; net debt-to-EBITDA at about 3.3, 3.4x; CapEx at EUR 800 million.
 Now before starting the Q&A session, I'm going through the impacts on -- that PNRR could have on our strategy. The next-generation EU program includes reforms and investments to accelerate the ecological digital transition with long-term structural effects. The interventions of the PNRR as stipulated over the period '21-'26 considering with the year-end business plan time line can generate a positive effect on the group.
 All business areas managed by Iren, regulated and nonregulated, will benefit from general reforms but above all from sectorial reforms, representing a very important element in favor of the implementation of Iren business plan, strengthening the feasibility and the visibility of the sectorial dynamics in the short and medium, long term.
 For example, simplification and the speed up of authorization procedures for plants and infrastructure, mainly affecting the electricity distribution grid and waste treatment plants. We expect a clear and homogeneous set of rules working for the entire national territory related to hydro concession, favoring the investment plan.
 Regarding gas distribution, the acceleration of the tenders could take place to measures as procedure simplifications and reimbursement at real value for municipal government asset. Thanks to these opportunities, we can sustain new investment and consolidate our presence in ATEM, in which we are not the single operator.
 The full retail market liberalization extended to micro enterprises and a house of clients by '23, accompanied by anti-task cap limiting market concentration and auction rules based on severe qualification criteria in order to promote participation of industrial operator of adequate size, it will be an opportunity to increase our retail customer base. We welcome the strengthening of the governance of the integrated water services, which will further stimulate investment.
 Moreover, the PNRR will also revise opportunities in more innovative sectors in which Iren has already addressed its developing strategy like energy communities, biomethane, e-mobility, energy efficiency and building requalification, or in highly innovative sectors such as decarbonization technologies, including hydrogen, that could have a positive impact on Iren assets.
 Moving to Page 12. We've shown you a list of possible sectors that could benefit from the grants and loans offered by the recovery plan in which Iren has a relevant presence. We can leverage our expertise in sectors in which Iren is already a national player like the circular economy, the integrated water cycle, district heating and distribution networks to expand our asset base. We also presented some specific projects, including the construction of our waste-to-chemical plant, with the aim of further strengthening our position in the circular economy.
 In addition, we can exploit all our capabilities to sustain the goal in more recent businesses like biomethane and energy efficiency in which we have an important pipeline of investment. Finally, we see an opportunity to accelerate the deployment of our operations in energy communities and e-mobility, sectors in which we have recently started to invest.
 Now I leave the floor for your questions. 
Operator: [Operator Instructions] We have our first question from the line of Javier Suarez from Mediobanca. 
Javier Suarez Hernandez: I want to be particularly respectful on the first question, which is that if you have any comment on recent press articles on possible changes in the governance of Iren? Any comment on that would be appreciated.
 Then the second question is on the increase in the company guidance for 2021. I think that, that increase is of EUR 10 million. If you can help us to understand to what -- to which division that increase in guidance is attributable and the underlying reasons why you feel more comfortable -- you feel comfortable increasing the guidance after first quarter 2021?
 And the third question is on the net working capital evolution. There is a negative impact this quarter of EUR 70 million in the presentation. You are explaining that by COVID and seasonality. If you -- the question is that you can help us to understand how do -- you are expecting to see that number evolving during the next quarter and by the year-end? 
Vito Bianco: Thank you, Javier. So I start with your first question. I don't have any comment on governance issue, that belongs to controlling shareholders. What I can say is that me, the Board, the whole management are totally focused and strongly committed to push the business plan target of the company. And the first quarter positive result as well as the increase in full year guidance clearly confirm this.
 So I first ask Massimo to comment to your question about working capital, and then I will answer to your question on guidance. 
Massimo Levrino: Okay. Okay. About net working capital, yes, of course, we have a seasonality in the first quarter and also the impact of COVID-19 by about EUR 50 million as I said before. During the year, we -- about COVID, we can forecast a slight reduction. By the end of 2021, we will have EUR 40 million of impact on trade receivables. But about the impact on working capital compared with the working capital at the end of 2020 will be a slight -- about the same as now we have because you have to consider that at the end of 2020, the net working capital was very low compared to previous period. 
Vito Bianco: About guidance, the higher contribution that allow us to be very confident to reach that higher level of guidance we gave is mainly related to the more visible and -- as well as better energy scenario that will affect the energy value chain. So this is the first. In addition, we see higher positive contribution in the waste business over the year. So these are the main drivers that allow us to be very confident on a higher level of guidance. 
Operator: We have another question from the line of Enrico Bartoli from Stifel. 
Enrico Bartoli: A few questions on my side. Sorry to come back to the, let's say, to the point of Javier's first question. You are aware that there were some press articles recently hinting at controlling shareholders of Iren thinking about the possible change in the management. I was wondering if actually you had any discussion with the shareholders about this matter, if you can give us some color on this.
 Second question is related to the possible impact of the PNRR. Thanks for this really helpful presentation on the possible details. I was wondering if you can give us some view on, let's say, the -- more or less the amount of investment that could have an impact on Iren in terms of direct investment by the company. I remember from your previous comments that you said that you were expecting that many projects not economically viable without these bonds would be effective. So not so much in terms of additional returns for the company. If you confirm this view or now that details are more clear about the plan if you think that there would be some opportunities in terms of direct investment from the company?
 And the third one is on the hedging policy for 2021. If you can give us some details on the volumes and prices for the next quarter. And if you can remind -- sorry, I didn't catch the figures in terms of the average achieved price in power generation in the first quarter. 
Vito Bianco: So thank you, Enrico. I don't have any additional comment on governance issue. That, as I said, belongs to controlling shareholders. And first of all, they have to discuss among them about these deals.
 So about your second question on so-called recovery plan, as we said in previous meeting, we, let's say, proposed projects in area of EUR 600 million, EUR 700 million of potential gross investment CapEx that could be supported and are consistent with the recovery plan. Of course, right now, it's impossible to say how much of our proposal can be at the end of the process realized. The single project that is more likely to be done and as a single project is more valuable is the waste-to-chemical project we have. That has a single investment towards a bit more than EUR 300 million as a gross investment.
 About your third question, the hedging policy. 40% of volumes on CCGT and thermo are hedged at EUR 6.7 per megawatt and roughly 50%, 55% on hydro volumes at EUR 51 per megawatt hour. We expect a supportive energy scenario with upward trend of prices that will be, of course, on the residual part of not hedged volumes. 
Operator: We have the next question from the line of Roberto Letizia from Equita. 
Roberto Letizia: Okay. I will not ask you anything more on the governance, but actually just I'm very surprised that for such an important argument, CONSOB is not asking you for making a press release of explaining to the market what's going on, which I suggest, anyway, because it's a relevant point.
 So coming back to my questions is just asking on the power prices and the benefit on the power gen. So you've been clear that the environment is positive for you. Can you tell us if, versus your expectations, the power prices remains some EUR 10 per megawatt hours above what you actually expected last year in terms of prices for this year, how much EUR 10 per megawatt hour would improve your profits on a full year basis in 2021 and in 2022?
 Can you please provide some indication on the guidance for the new EBITDA? What roughly could be an indication on net income? So how much of that improvement translate into the net income? So can you provide the guidance on the bottom line?
 I would like to understand also if -- also on the energy scenario, the hydro is -- has gone well also in the first weeks of the second quarter because that would add some additional positive considering that power prices remain very strong also in the second quarter. So if you can provide some indication on that?
 And if you can tell us something more on the retail market and the customer base evolution, if you are acquiring new customers or if there are opportunities there? Sorry if you said it already, but if you did it, I miss it.
 And final question, on the M&A side, you said you expect something potentially positive on the waste business side. Is that meaning some new acquisitions to be done in the year? Or is there anything else more to be done on the M&A? 
Vito Bianco: Thank you, Roberto. [ We start a bit inside ] your questions. First, about net income guidance for this year, we can expect, including the debt optimization that we already accounted for this quarter in the debt structure of Unieco, EUR 250 million for the 2021 full year.
 About power prices expected for this year and next year, we can assume EUR 60 per megawatt in '21 and as well in '22. About the retail market, we expect that the, let's say, if we well understood, your question was related to additional customers or the profitability of the supply? 
Roberto Letizia: No, no, the amount of customers. So the customer numbers, [indiscernible] 
Vito Bianco: Okay. We can -- as I said, we are seeing an increase in competitiveness that are causing an increase in the churn rate. But in any case, this has an impact, let's say, more on cost side to support the customer base grow. So we are not changing our target in terms of growth. But of course, we are a bit suffering as we think everybody is doing in supporting the goal we expect in terms of cost.
 And on the other hand, for at least until we lap the COVID emergency, we will have a bit more difficulties in the physical client acquisition where we were strong, and we are going a lot in the digital acquisition. So this could also be positive for the future.
 About hydro, as I say -- I already said about M&A, we did, more than 1 month ago, a transaction that is Futura. We bought a stake that allowed us to consolidate, starting from 1 month ago, a plant that is a TMB effect -- TMB plant for recovery of urban waste. And we are -- with that company finalizing the permitting for a new organic waste plant with production of biomethane that will become the 5th plant we will have in the next future.
 Additional M&A, we expect to do by the end of this year. We are, as usually, working on a longer list of discussions. It's difficult to say what kind of business will be impacted because we are working on waste, on energy efficiency and other business clients. So we are continuing to work, and I'm quite optimistic that it will happen.
 About the second quarter, you mentioned, we saw a positive April in terms of temperature, and maybe this could support the quarter. 
Roberto Letizia: Yes. Sorry, if I can, because actually, on the power price, I was asking something slightly different. So -- because you talked to me about prices, but actually, I would have loved to have an indication on how, say, these higher prices are translating to higher EBITDA. So EUR 10 per megawatt hour higher prices versus what was your expectation, how this translates in higher EBITDA for the group in '21 and '22? 
Vito Bianco: I -- I don't know if I'm able to answer now to your question. 
Roberto Letizia: Okay. No worries. I can ask you later. 
Vito Bianco: Probably, Giulio will do after the call. 
Operator: We don't have any questions at the moment. [Operator Instructions] There are no questions at the moment. 
Vito Bianco: Okay. Thank you very much, everybody. See you soon. Bye. 
Operator: This concludes the conference for today. Thank you for participating. You may now disconnect.